Operator: Good day, ladies and gentlemen. At this time, I would like to welcome everyone to the NXT Energy Solutions 2020 Year-End Operating and Financial Results Conference Call. All participants will be in listening-only mode for the first part of the conference call, with the ability to ask questions after the presentation by the Company . I would now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, sir.
George Liszicasz: Thank you very much, Patricia. Welcome, and thank you, everyone, for joining us today for NXT Energy Solutions Fourth Quarter 2020 Financial and Operating Results Conference Call. This is George Liszicasz. And joining me on today's conference call is Eugene Woychyshyn, Vice President of Finance and Chief Financial Officer; Dr. Xiang Gui, Director of R&D and SFD Sensor Development; Rashid Tippu, Director of Geosciences for Africa, Asia and Middle East; Enrique Hung, Director of Geosciences for the Americas; and Mohammad Saqib, Operations Director and Head of Asia. The purpose of today's call is to briefly discuss the highlights of the release of and NXT's fourth quarter 2020 financial and operating results. Following our update, we will open up the line for questions. Please note that all statements made by the Company and management during this call are subject to reader's advisory regarding forward-looking information and non-GAAP measures set forth in our Q4 2020 results press release and MD&A issued yesterday. All dollar amounts discussed today in today's conference call are in Canadian dollars unless otherwise stated. The complete financial and operating results and consolidated financial statements for the fourth quarter of 2020 were published yesterday, March 30, and are available on NXP's website, SEDAR's website and soon will be available on EDGAR website. Now I would like to turn it over to Eugene for the financial review.
Eugene Woychyshyn: Thank you, George, and welcome, everyone. As George mentioned, our fourth quarter 2020 financial statements, management discussion and analysis and annual information form were filed on SEDAR yesterday and will shortly be available on EDGAR. From a financial perspective, the focus remained on supporting the execution of the business development efforts and continuing to control and optimize costs. We continue to participate in the Canada Emergency Wage Subsidy and the new Canada Emergency Rent Subsidy programs during the quarter. For the fourth quarter, our financial results were as follows: cash and short-term investments were $3.03 million at December 31, and net working capital was $2.73 million. Operating activities used $0.93 million of cash during the quarter and $3.45 million for the year. There was no revenue earned in the fourth quarter. For the quarter, NXT recorded a net loss of approximately $1.69 million or $0.03 per share-based on 64.4 million weighted average common shares outstanding this compares to a net loss of $1.78 million in the fourth quarter of 2019 or $0.03 per share.
George Liszicasz: Thank you very much, Eugene. First, I want to convey my sincere hope that everybody is well and continues to stay healthy at this time. 2020 was a year that started with high hopes for many of us at NXT. We had just reported one of the best financial performances in our company's history, having successfully completed the 2019 Nigeria and SFD survey with flying colors and by all accounts. We were granted also 38 additional patents by the European Union, which brought the total number of NRT patents to 44. Most importantly, we were actively engaged in discussions regarding a number of business development opportunities we felt would have transformed this company's future immeasurably. Well, not to restate the obvious impact of the oil price and the global pandemic, let's just say that we are happy to have 2020 behind us. In May 2020, NXT started on a new interpretation workflow that includes processing, mathematical transformation, and mapping of SFD data with the aim of bringing results closer to the G&G community while reducing the qualitative aspect of SFD interpretation. We are pleased to report that while the work continues on this front, we have seen a number of encouraging indicators that validate the efforts to date. Some output of this process is going to be deployed in our upcoming projects and hope to give you industry feedback later this year. Currently, NXT has decided to keep this IP proprietary and we'll consider seeking a proper protection. On the global E&P front, promising news comes in the form of multiple vaccines that have been approved and global vaccination levels are increasing. Commodity prices are now stabilized and the worldwide economic recovery is well underway. As a result, NXT has experienced an increased level of development activities from its customer base. Although discussions are at various stages and certain details are confidential. We remain highly confident in the approach we have taken to realize near-term opportunities with national companies that have a long-term strategic approach to the development of reserves. Let us discuss further highlights on our continued business development efforts. Starting with Africa, the Company is pleased to report that finally, we are clear to plan our trip to Nigeria for senior level discussions on existing and future projects. During this trip, we plan to close our remaining milestone of our 2019 project and start designing the next SFD surveys based on the technical recommendations.
Operator:  Your first question comes from the line of Peter Mork from Mork Capital Management. Your line is open.
Peter Mork: Just kind of a quick follow-up. Thanks for the thorough update on the pipeline, George. On just regarding that pipeline in your last investor presentation that you guys got have up on your site. There's a nice kind of graphic just of the pipeline with probabilities, a little bit of a time line. I think that presentation is from December. Since that time period, has there been any shifts on that that graphic, so to speak?
George Liszicasz: I would say that the most important project right now remains in Nigeria. And actually, that has now even increased in its potential that we cannot discuss certain aspects of the negotiations and so on. But we are extremely pleased with the results that we have achieved in Nigeria and also the attention that we are getting from the various departments of the Nigerian oil and gas sector.
Peter Mork: Great. That's helpful. And in terms of the other -- like you talked about Central America a little bit, you do a lot of countries like Uruguay. I think that's the first time I've heard that mentioned. Are those -- in terms of timing, are those getting pushed out if we looked at that previous forecast? Are they anything moving up? Or is it about the same?
Enrique Hung: So, it's about the same. The only thing -- Pete, this is Enrique. The exploration cycle is very slow, and we are doing -- or making our steps further in every country that we can. So Uruguay, just one more or less outside in all the GNG communities in the magazines, and these all the exploration -- front exploration topics and we happen to contact them the government of to find out how can we participate. And we did in a short coming three or four months, we were explaining them in technical discussions and then writing up a contract with ONCAP, which is the government, to authorize the use of SFD inside Uruguay. This same authorization we have in several countries like Colombia, Brazil, in Bolivia and Argentina. So it's just one more to come up with and it's laboring to Brazil and the Pelotas Basin and neighboring to Argentina. So now we have one more piece in the puzzle to reinforce our exploration efforts.
Operator:  There are no -- I'm sorry. We have your next question coming from the line of Raul Alberto from .
Unidentified Analyst: Good morning. A question, it seems like most of the items in your pipeline, I'm just an investor come from governments. Do you have any workonomy partnerships with major oil companies that do exploration so you can get endorsement from a public company to use your technology? Or are you looking for co-investments with them to create partnerships that would extend your reach? It seems like working with government, the lead time for marketing and business development tends to be very long. I guess that's the nature of exploration. I would be interested in your thoughts about how you're attacking the market and if you could expand in a different way.
George Liszicasz: Thank you, Raul, and thank you for being our shareholder. The good news is that one of the projects that we are being considered in Nigeria will involve not only major oil companies, but super majors. And we are very excited about working with them because this will be the first time that a number of them are going to be involved with SFD. And I think that is what you referred to, basically, but we believe that it's going to be successful, and we are going to deliver value to them. And they will eventually now endorse the technology that's our hope. Regarding the second part of your question, yes, we have extended our participation in certain aspects of the E&P sector. We are looking for royalties. We are looking for participation rights, bonuses, and so on in order to make sure that our revenue stream is smoother and more even. And we don't have these ups and downs and not affected as much by the oil prices and so on. So we are actively seeking those opportunities and we have some. We just have to close them. We have some in Africa as well, also in Central America. So, we are looking for these relationships continuously where we can generate additional revenues.
Unidentified Analyst: So just -- so the reason you're mostly working for governments is big as mostly they are the ones that own the deposits that you're doing exploration. I'm sure you want to protect your intellectual property, but I would think an endorsement from a major oil company or co-investment with you would be a cost maybe that’s…
George Liszicasz: No. I totally agree with you. We are not projecting that intellectual property because we have a patent. So anybody skilled in the art should be able to take a look at the patent and understand how the technology works and so on. It took us about almost eight years just to receive the patent because of just for your information, 90 pages of questions came from the U.S. Patent Office to be answered. So that's how we started out. So it takes some time sometimes. But as I said, we are looking forward to working with the majors and super majors. But the national companies we work together because they own 90% of the land. So it's a natural fit. They cannot stop exploring because, as you know, many of the African countries and also in Americas many countries depend on -- their GDP on the oil and gas sector contribution. I hope it answered your question.
Operator:  We have another question coming from the line of Michael Mork from Mork Capital Management.
Michael Mork: Yes, got a question. You obviously have what looks to be a very amazing technology. And yet, when you have these negotiable contracts, it seems like it's hard to close. And I just wonder, what is the pushback that you get that stops you from just signing contracts left and right?
George Liszicasz: Thank you very much, Mike, for the question. From my perspective where I'm sitting, it's the COVID. I mean there's no other reason at this time for NXT, not to be able to produce the contracts. It's just hard to get into the country. You have this variant all over the place. And I mean, if I tell you how we can get into Nigeria, we are planning our trip, it's unbelievable. It's -- but the good news for us is that we are airborne. So, once we are in the country, we just stay in a certain hotel, we don't go anywhere, and we just conduct all our exploration, usually, it takes three weeks to acquire all the data, and then we are out of the country. So -- but I must tell you that our people here, our team members are up to the task and sacrifice, to tell you the truth, and I'm very, very appreciative of that. You can't buy that with money.
Operator:  There are no further questions. Please go ahead.
George Liszicasz: Thank you very much, everyone, for participating in our conference call, Investors conference shareholder call, and looking forward to updating you in the near future, about six weeks. Thank you again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.